Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Berkeley Lights Third Quarter 2021 Earnings Call. . I would now like to hand the conference over to your speaker today, Carrie Mendivil, Investor Relations. Thank you. Please go ahead, madam.
Carrie Mendivil: Thank you. Earlier today, Berkeley Lights released financial results for the quarter ended September 30, 2021. If you have not received this news release or if you'd like to be added to the company's distribution list, please send an e-mail to ir@berkeleylights.com. Joining me today from Berkeley Lights are Eric Hobbs, Chief Executive Officer; and Kurt Wood, Chief Financial Officer.  Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties and that could cause actual results or events to materially differ from those anticipated. For more information, please refer to the risks, uncertainties and other factors discussed in our SEC filings. Except as required by law, Berkeley Lights disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast, November 4, 2021.  With that, I'd like to turn the call over to Eric.
Eric Hobbs: Thanks, Carrie, and thank you, everyone, for joining us this morning. We delivered record revenue of $24.3 million during the third quarter of 2021, coming in at the high end of the revenue range we preannounced in mid-October. Our team members across the globe continue to execute on our strategic initiatives, and we are well positioned to find the biology that cures disease. On today's call, I will provide details on the continued progress we are making across our business. I will then turn the call over to Kurt to discuss third quarter financial results and share our outlook for the remainder of 2021.  The industry continues to experience strong growth. At the same time, it's going through some significant transformations. We are increasingly seeing companies outsource both R&D and manufacturing to CROs, CDMOs, which was a main growth driver for our business during the quarter. This trend was accelerated by COVID-19, and we expect this outsourcing trend to continue for the foreseeable future. As a result, approximately 40% of our third quarter revenue came from CROs and CDMOs. Revenue from CRO and CDMO customers grew more than 150% for the first 9 months of 2021 compared to the same period in 2020. Capacity utilization as well as global adoption of our technology in this customer group continues to expand as evidenced by 5 repeat Berkeley Lights Platform purchases year-to-date and more than a twofold year-over-year increase in consumable revenue.  Demand for antibody discovery is primarily driven by the need to access increased levels of biological diversity in terms of species and cell types that are screened in search for therapeutics against harder-to-hit targets. Our customers continue to see significant differentiation with our platform's capability when it comes to the hard-to-hit target classes, such as GPCRs and ion channels as high resolution and the ability to run complex cell-based functional assays becomes even more critical. Access to more biodiversity and different cell types continues to be a strong driver for expanding our opportunity in antibody discovery.  With the rollout of Opto Antibody Discovery 4.0, we are focused on product development activities that broadened species access. Our Opto Antibody Discovery 4.0 dramatically increases access to biodiversity, but it also includes the ability to deeply interrogate primary human cells. This is significant and early-access customers are seeing promising results, which can be further appreciated in the Vanderbilt webinar on the customer page on our website.  Translating more complex antibody products, such as multi-specifics, into highly productive cell lines requires increasingly deeper polyfunctional clone interrogation and selection. Our Opto Assure product line enables our customers to do just that at unprecedented scale and speed. In Q3, we continue to see global deployment of that capability by an industry-leading CDMO, which is yet another example of the value proposition enabled by Berkeley Lights' technology.  Other trends emerging are CROs integrating downstream, adding cell line development to their product offering. Genovac is a recent example of this with proven success in discovery and development of antibodies against challenging targets using the Berkeley Lights platform. They recently invested in their third Beacon with 2 platforms dedicated to antibody discovery and the latest dedicated to their expansion into cell line development.  GlaxoSmithKline also shared their success with our platform on an analyst customer panel. They have switched the majority of their cell line development work to the Berkeley Lights Beacon platform, which has enabled them to accelerate their decision-making from a time frame measured in weeks to now in just a few days. GSK also purchased its third Beacon during the quarter, moving upstream in the value chain by adding Beacon Antibody Discovery workflow capabilities to their antibody therapeutic development and manufacturing capability.  Cell and gene therapies continue to drive significant pipeline growth and are becoming a larger part of the total therapies under development in the biopharma industry. In line with this trend, non-antibody therapeutic revenue as a percentage of total sales grew to nearly 25% in both the third quarter and year-to-date revenues.  We continue to build our presence in translational centers by driving the deployment of cell therapy products and demonstrating access to primary biology that previously did not exist. Globally, we have placed 20 platforms across the academic sector. Development efforts around an integrated cell therapy development, QA/QC and closed-loop manufacturing solutions continues to progress nicely. Recently, Dr. Anthony Zamora from the Medical College of Wisconsin, presented at the CAR-T Summit on how he was leveraging the Berkley Lights Lightning tool to identify how modifications in CAR T-cell manufacturing can improve in-vivo persistence and clinical efficacy. A link to this webinar and others like it can be found on the customer spotlight pages of our Berkeley Lights website.  Expanding into new markets remains a key aspect of our growth strategy. The industry trend to partner in core technology development has driven growth of our business development activities. Here, we are developing new solutions with partners by providing access to capacity through our BioFoundry. We currently have 2 principal engagement models. Both partnership offerings start with an R&D capacity subscription that can span over multiple years. This is either followed by platform placement of the customer for the developed application or the arrangement is transitioned into a service offering where Berkley Lights is found to be the established workflow in our BioFoundry. In either model, we may share in downstream economics via milestones and/or share in the created downstream economic benefits on a per-unit basis. This model continues to gain momentum in both pipeline activity as well as revenue contribution.  In 2020, full year revenue from partnerships was $5.8 million compared to $12.5 million during the first 9 months of this year. We expect revenue from partnerships and services to exceed $18 million in 2021 and account for approximately 20% of this year's projected revenue. Our current service and partnership backlog for 2022 has grown to approximately $20 million at the end of the third quarter. To serve this rapidly growing part of our business, we recently completed the build-out of our Boston BioFoundry, which will provide additional campaign capacity as we enter 2022.  Before I hand the call over to Kurt, I'd like to again thank our team for their hard work and dedication towards making our vision a reality. We are at the forefront of something profoundly important, and we continue to push the envelope every day on what is possible through the cutting-edge fusion of biology and technology. Our platform is becoming essential in some of the most important fields such as cell therapy, antibody discovery, synthetic biology and many more. As we have advanced the capabilities of our platform, we increasingly hear from our customers how our technology is enabling them to solve complex problems that were previously thought to be unsolvable. We are still early in this journey and there is work to be done to integrate our technology platform across many new market segments. As we have demonstrated this quarter, we are continuing to make great progress, and we remain more excited than ever about the road ahead.  I will now turn the call over to Kurt for more details on our financials. Kurt?
Kurt Wood: Thank you, Eric. Revenues for the 3 months ended September 30, 2021, increased to $24.3 million, up 34% year-over-year and 26% sequentially. This set a record for quarterly revenue was $16.7 million coming from product revenues and $7.6 million from service revenues. Regionally, North America accounted for 46% of revenues in the quarter, followed by APAC at 40% and EMEA at 14%.  Looking at a breakout across the 3 revenue streams. Revenue from direct platform sales was $14.1 million, increasing 24% sequentially and 14% versus the prior year. These results were driven by strong platform placements, including 8 CapEx Beacons, 3 tech access subscriptions and 2 Lightning platforms, ending the quarter with an installed base of 105 platforms.  As a reminder, last quarter, we launched a new tech access subscription offering tailored to the specific capacity needs of smaller antibody discovery and cell line development customers. As of the end of September, approximately 10% of our year-to-date placements are to tech access customers in North America and EMEA. We have not yet launched tech access in the APAC region, which we expect to do in 2022.  Recurring revenue, which includes revenue related to consumable purchases, subscriptions and service and warranty was $4.7 million, an increase of 29% over the prior year and 20% sequentially. The sequential growth from last quarter was primarily driven by an increase in consumable purchases. As a reminder, we recognized consumable revenue when the consumable is purchased by the customer. Therefore, the timing of the purchase is not necessarily reflective of when the consumable is ultimately used on the system and different customers deploy different procurement strategies. For example, some customers make onetime purchases for their anticipated annual usage, while others purchase consumables as needed and place orders consistently throughout the year. Additionally, some customers implemented procurement strategies in 2020 designed to derisk potential supply chain disruptions from COVID shutdowns, resulting in higher inventory levels over the course of 2021 and a lower correlation between purchase and usage.  Joint development agreement and partnership revenue was $5.5 million in Q3, growing 155% from the prior year period and 40% sequentially. Year-to-date, we have signed 2 significant partnerships with industry-leading participants, Thermo Fisher Scientific and Bayer Crop Sciences. Together, these segments carry a potential contract value of more than $30 million. To date, we have recognized approximately $6 million of the $30 million in backlog, including $2.7 million in Q3. Looking ahead, we anticipate our business development-driven revenues to grow both in absolute dollars and as a percentage of total revenue, while maintaining our stated long-term objective of achieving 70% gross margin.  Gross profit for the third quarter of 2021 was $15.4 million compared to $12.8 million in the prior year period. Gross margin for the third quarter of 2021 was 63.4% compared to 70.3% in the third quarter of 2020. Similar to prior quarters, our gross margin was impacted by the cumulative impact of the Ginkgo workflow buy-downs. This impact increased in Q3 due to a ramp in activity as we near completion of one of the workflows in co-development. Excluding the impact from Ginkgo, gross margins for the third quarter were approximately 69% in line with our long-term target of approximately 70%.  Total operating expenses for the third quarter of 2021 were $35.4 million, inclusive of $5.9 million of stock-based compensation compared to $21 million in the third quarter of 2020, which included $2.4 million of stock-based compensation. The increase of $14.4 million was driven by an increase in R&D, G&A-related expenses as we transition to a public company, stock-based compensation and investment in our business development and sales and marketing teams. Net loss for Q3 was $20.4 million compared to a net loss of $8.6 million for the third quarter of 2020. All net loss numbers are inclusive of stock-based compensation.  We ended the third quarter of 2021 with a cash and cash equivalent balance of $197 million and available liquidity of $207 million, including the unused portion of our revolving debt facility announced last quarter.  Turning to our outlook for the remainder of the year. We expect revenue for 2021 to be at or above $90 million, in the low 90s, the lower end of our previously stated guidance range. This represents a growth rate of approximately 40% over 2020.  With that, we'll now open it up to questions. Operator?
Operator: . Your first question comes from Tejas Savant of Morgan Stanley.
Unidentified Analyst: This is Edmund on for Tejas. Just wanted to ask you about your direct instrument revenue. It seems like your guidance is at the lower end of what you guys have provided before, meaning your script model has been fairly successful. First on that, actually, can you comment on how it's been tracking and what your expectations are in terms of traction going forward?
Eric Hobbs: I missed the first part of that question, Edmund. What it the...
Unidentified Analyst: Yes. Well, actually, I can get to that later. But first, can you just comment on how the subscription model is tracking given your lower end of the guidance? It sounds like it's going well according to your expectations.
Eric Hobbs: Look, I think we launched that at the end of Q2. It already accounts for 10% of the placements we have made this year. We've additionally booked one additional one so far in Q4. So I think that's tracking well as we would expect. We are seeing some increased demand in CRO and CDMO, which obviously you can be a trade-off there on tech access and if the customer goes there. Either case it's good for us because we get the market share of the campaign. But we're pleased with the progress we're making on that product in a relatively short period of time.
Unidentified Analyst: Great. And then looking forward, I think The Street is currently estimating around $61 million of direct sales revenue based off of 36 -- around 36 direct Beacon placements for 2022. Is that still a reasonable assumption?
Kurt Wood: Do you mean 2021 or 2022?
Unidentified Analyst: 2022. The Street is currently estimating about $61 million in direct revenue derived off of about 36 direct placements.
Kurt Wood: Yes. It's a little early for us to give 2022 guidance. We'll do that on a future call. I think what we're seeing now is we're set up nicely. Eric mentioned we have already this year, our business development team has booked $30 million in new business, of which $20 million will be recognized on the business development side for next year. So we have a nice growing installed base, business and backlog in that area. And then our installed base has grown pretty rapidly this year, and that will drive additional consumable spend next year. But the specifics of that, we'll break out on our future call. We're still finalizing our plans for next year.
Unidentified Analyst: Got it. And then it sounds like the CRO, CDMO demand is still going very strong. I was wondering if you can help us walk through what your customers are thinking when they're making a decision to either sign up for a subscription unit or to leverage the Beacon unit that's already placed at a CRO.
Eric Hobbs: Yes, happy to jump in on this one. When you think about their purchasing decision, whether they're purchase Beacon, go for a tech access or work with a CRO, CDMO, right, our customers are really thinking about, more importantly, what's their probability of success? And the reason many of our customers go to CRO, CDMOs is actually driven by the desire to access enhanced levels of biodiversity. They want to make sure that they get a therapeutic candidate. And so each of the CROs, CDMOs have access to different animal models and biodiversity. And that really is one of the primary decisions they make, that they evaluated making their decision on where they put their money down to find access to their therapeutics.  And as we look forward into 2022, right, in antibody discovery, we believe the outsourcing trend to CROs and CDMOs is going to continue. And as Kurt mentioned, we'll continue to support that with placements into the segment. Those placements go into pharma companies, biotechs and CROs, CDMOs. And so as Kurt also mentioned, it's our intent to capture the vast majority of the campaign capacity in the market to drive market share ownership of the campaigns in the field.
Operator: Your next question comes from Mark Massaro of BTIG.
Unidentified Analyst: This is Vivian on for Mark. So how should we think about subscription model and capital placement mix looking forward? Could you also maybe discuss how workflow utilization of subscription customers differs since some workflows are only on the subscription model?
Eric Hobbs: Sure. Kurt, would you like to take that one in terms of mix.
Kurt Wood: Yes. I think in terms of mix, I think you got to remember, we've got 3 legs of our business model that we've talked about. You've got the direct placements, which includes the CapEx model and the subscription. You've got the service business, which falls into our partnership and development line items, which is where we are performing the screenings on behalf of the customer at a BioFoundry that we're doing. And typically, that's what we're doing with the Thermo Fishers and the Bayers of the world. And then third, what you see is we take a percentage of the asset revenues that are generated in the back end, whether that's through a milestone or end unit economics.  As it relates to what you were talking about for the mix going forward, we expect that business development and partnership revenue to increase. It's already going to be 20% of this year. And as Eric mentioned, we've already got backlog that will exceed the total absolute dollar value of this year. So we've got, as we ended Q3, $20 million of backlog secured for 2022 already in that aspect.  As we think about in -- the mix in the short term of subscription and tech access, again, I think we'll defer the actual mix split and guidance for that for 2022 when we give more specific guidance. But I'll refer to you that we launched the subscription model for tech access at late Q2. We've already got 3 placed and we booked another 1 this quarter. So we're seeing good demand on that front, but we'll give you the specifics as it relates to 2022 on a future call when we talk specifically about guidance for that year.
Unidentified Analyst: Okay. Awesome. Can you also provide an update on how the workflow development with Bayer is progressing and your development work in synbio with Ginkgo as well? Does that still remain on track for later this year? And how do you see that new workflow impacting your funnel?
Eric Hobbs: Yes. I'll jump in on this. It was great to be at the Ginkgo for Med event last week and talk with Jason and Barry. And we continue to move forward and work, and we are on track for delivering workflows to Ginkgo this year. So that's going very well.  In regards to the Bayer workflow, we aren't speaking of all of the details of the work. Absolutely, the workflow continues to be developed in our BioFoundry and is moving forward on track. And again, that's quite exciting for us in terms of the ability to take DNA in from our customers, right, express different proteins in NanoPens and test those against primary biology. And so I think that's a very interesting capability that we will have in our BioFoundry as we continue to move forward.  And all of these things are part of our overall strategy and where we engage, we find high-value cell-based product opportunities. We work with the industry leaders and then we engage in these partnerships. And I think it's important to highlight how critically important those partnerships are, not only for opening new markets, right, in a business development way, but also building enterprise value in the long term. As we see these -- the termination of these business development deals is not the end, it's not only just at the end of a deal. It actually leads to either placements or platforms at the customer or we run the -- we transition into a service offering where we run the established workflow in our BioFoundry. And so in either model in these business development partnerships, we share -- we can share and downstream economics, either via milestones and are sharing downstream economic benefits on a per-unit basis. So this model continues to gain momentum.  And I think it's important to highlight what Kurt stated, which was we anticipate $18 million in revenue this year in those business development activities. But the backlog for next year is already $20 million. So it's beyond -- and this is at the end of the third quarter. So see very nice progress there.
Kurt Wood: And then, Vivian, I would just jump in to say the Bayer -- obviously, we just signed that deal in August, so it's still very early on. The other one that I think is making good progress is what we announced earlier in the year was the Thermo Fisher Scientific around stable viral vector manufacturing, and we continue to make great progress and push the boundaries of technology.
Operator: Your next question comes from the line of Julia Qin of JPMorgan.
Ruizhi Qin: So starting with instrument placement, nearly half of your 3Q placement is to repeat customers, which is obviously great to see. I'm curious, now that many of your earlier customers have had the system for a couple of years, do you expect that mix of repeat customers to tick up going forward?
Eric Hobbs: Go ahead, Kurt.
Kurt Wood: Go ahead, Eric. Go ahead.
Eric Hobbs: Well, I was just going to say that -- I mean, this is exactly the trend we've been seeing over the years, Julia, that our customers get the technology and platform in their businesses, they run it, get familiar with it, see the value and continue to expand. And so it's great to see our customers continue to buy. There were 2 notable press releases from this quarter, Genovac which bought their third Beacon, which is the first CRO to integrate both cell line development and antibody discovery into a complete workflow. And also GSK, GlaxoSmithKline, did the same thing.  Now they brought antibody discovery on to an existing cell line development workflow. But the key important point is that these 2 companies are joining other pharma companies who have integrated both antibody discovery and cell line development. And there's a significant reason to do so, in the sense that the overall time to the clinic can be dramatically accelerated by going directly from antibody discovery into cell line development activities with functional characterization happening in parallel.  So I think it's important to notice that as we projected in the IPO discussions, that integration across the value chain was going to be important and was going to be kind of our mission in each of the market segments. But that's happening. And this is, of course, our first antibody therapeutics. This was, of course, our first market. But what we said was going to happen is happening and continue to be excited about seeing our customers further integrate Berkley Lights across the entire value chain.
Kurt Wood: And Julia, I would also note that we certainly expect to see repeat customers continue, and we had a nice mix of that this quarter. But an example of that is the CRO and CDMO space. If that continues to grow, that's a capacity play as they need more business. Their business is dependent upon the Berkeley Lights, they'll buy more tools. We saw that in Q3, and we saw that earlier in the year as well.  And then I think the other thing when we look at the mix of business with new customers, there's things we do as they learn more about the Beacon, we start then talking a little bit more about business development and deeper collaborations of what we can do with those customers. So I think you'll see a mix of those continuing ongoing business with customers, driven by consumable usage, driven by tool placements as well as some deeper partnerships, in some cases, on the business development and services side of the business as well.
Operator: The next question comes from Brian Weinstein of William Blair.
Brian Weinstein: So you've kind of jumped around on this a little bit, but I was hoping to maybe get a little bit more specific on just kind of what the funnel for new accounts looks like and kind of what the sales process in general and what the cycle looks like as you're not only working with your more traditional partners, but as you're transitioning more to the CRO, CDMO space. Just how does that funnel and sales cycle, how does that look right now versus maybe what it looked like historically?
Eric Hobbs: Yes, yes. I'll jump in. Brian, good to hear from you, and thanks for the question. As we continue to talk and stay close with our CRO, CDMO customers, right, they continue to be -- add capacity limitations. And so those discussions, of course, increase. And the question is, how do they add to their overall capacity to serve their customers? This general trend of outsourcing in the market, we see as something that has been happening, and it's been accelerated by COVID and it will continue. We don't see that returning to go back the other way anytime soon. And so we continue to stay in close contact with our customers, have the discussions.  In regards to overall time lines, previous time lines, 6 to 9 months, I would say, it's about the same. What has really dramatically accelerated though, Brian, is the business development pipeline and the time lines on the business development activities, right? I think the business development team and our deal desk has just done a great job at continuing to work with our customers as we see continued interest and demand for, how do we build those workflows in the future? How do we enable our customers to do things that they're just not able to do today? And so things that are possible with the Berkeley Lights platform just can't be done very easily or economically other ways. And so I think it's very encouraging to see that growth in our overall pipeline leading to a very nice backlog for next year.
Kurt Wood: And then, Brian, just to add to that, I think that you had to break that down a little bit between existing and new customers. So just to kind of give you an example, if we've placed our top 10 users of the tools, over the last 4 quarters, 8 of them have placed orders for new additional tools. Obviously, that sales cycle for an existing customer that already has experience with the platform is much shorter. When you get a new customer that's new to the Berkeley Lights name, there's oftentimes a feasibility study that goes in.  As we've talked about before, a lot of times people, they hear and they do reference checks, but they're skeptical of whether the technology will work initially on their unique biology. And time and time again, we prove that and we do feasibility studies. And that -- the timing of that is always dependent upon the customer of getting us the biology, running the test and that can take a little bit of time on there. And then the business development pipeline that Eric was mentioning, that varies depending on the complexity of the deal. Like we talked about with the Thermo deal, that came to fruition in just 1 or 2 months. The Bayer deal took a little bit longer than that. And others we have in the pipeline are kind of between the 2 that we've been working with. But we're getting good traction with that. And it's one part of the process of proving the technology works to accomplish what they're envisioning doing.  And then the second part for them on the sales cycle for the tool is then going through the funding portion within the process within their company. And that process differs between tech access and the CapEx, where the CapEx takes a little bit longer. Tech access is a lower financial commitment and generally can be done a month or 2 sooner than what we see on the CapEx side.
Brian Weinstein: Understood. So just transitioning quickly to kind of geographic mix and breakdown there. You guys are kind of unique given you're not overly focused on just the U.S. market. So I'm curious about some of the trends that you're talking about, how prevalent they are in areas outside the U.S. And just what are the different trends that you're seeing in various geographies at this point?
Eric Hobbs: Yes, absolutely. I mean, as we -- as we mentioned in the last 3 earnings calls, right, the growth in the Asia Pacific region continues to grow high. High level of interest in antibody discovery in APAC. I think our head of Asia Pacific, Yue Geng is just doing a fantastic job building the team there as we continue to execute in that region. It's not just in China. We have placements in Japan, in Korea and also lots of discussions happening in Singapore area. So I think that overall region is a very important region for us to continue to focus on.  And in the EMEA, Gareth Jones is also doing a great job bringing up. And I think the placement at GSK is really significant in terms of leading to full integration of the Berkeley Lights platform there across antibody discovery and cell line development. So globally, we continue to see high levels of demand from our customers, whether it's pharma customers or CROs, CDMOs. And in particular, the Asia Pacific region continues to drive high levels of demand in antibody discovery.
Operator: Next question comes from the line of Dan Arias of Stifel.
Unidentified Analyst: This is Evan on the phone for Dan. Sorry to bring up a little bit of a sore subject. But I'm just wondering, the report that came out a couple of months ago, I'm just actually just wondering if that is impacting -- or that's coming up in conversations with customers? And if that's impacting, I guess, the sales process at all? That's my first question.
Eric Hobbs: Yes. Happy to jump in and take this one. I mean, the claims in the report have left our customers relatively speechless in terms of some of the blatant lies and false statements created against our technology. And I think it's important to note, as a matter of fact, that we had multiple repeat purchases in the quarter post the short report being published. But on the bright side, the report has further cemented the strong relationships we have with our customers. Many have offered to continue to provide broad support towards Berkeley Lights. So in general, the customer response has been very positive as we move forward. So I think, in general, we have not seen a dramatic impact from the Scorpion short report.
Unidentified Analyst: Got it. I mean, anything from new customers, though that aren't as familiar with the technology?
Eric Hobbs: Yes. For any new customer who has a question is more than welcome to have discussions with our existing customers. And they do reach out. It's a small community. It's not a broadly based community and people do have those discussions. So our new customers freely reach out to our existing customers who continue to provide support in regards to what capabilities they're achieving with our product. So it's not a -- it hasn't had an impact on our overall pipeline.
Unidentified Analyst: That's good to hear. Follow-up question related to, I guess, your -- I mean, obviously, you're having an evolving business model, and you've highlighted CROs and CDMOs. But you're also, within your service business, it sounds to some extent like you might be competing with them. Have you -- I mean, have you sensed this from your CRO customers or CDMO customers that -- have they brought this up? And has this been impacting any sort of sales -- yes, sales?
Eric Hobbs: Yes. So in the antibody -- so just to be clear, right, we do not compete with our CRO, CDMO customers in the antibody therapeutic space. In the antibody therapeutic space, our customers, our CRO, CDMO customers are executing antibody discovery and cell line development workflows. Our service business is focused on new markets and new market development, where we're working on new spaces like synthetic biology, creating stable cell lines for viral vectors with Thermo or working in Ag-bio with Bayer. These are completely different markets. And so no, there is no conflict between the services business we offer to develop new markets versus existing markets where we sell product. And so as we engage in different market segments, we delineate them as this is going to be a service business we're going to go into, such as the Ag-bio market? Or is it going to be a platform placement business, such as what we've decided -- what we had decided for antibody therapeutics? So no conflicts there.
Unidentified Analyst: Got you. And I guess I have one more follow-up related to that in the scripted service business. You highlighted the $20 million for -- the funnel for next year. Is that including Bayer and Thermo or just?
Kurt Wood: That's Bayer, Thermo and Ginkgo.
Operator: Your next question comes from the line of Dan Brennan of Cowen.
Daniel Brennan: Just maybe to start off, just a question on the guidance. Really good quarter here in Q3. You narrowed the guide to the lower end. Was there any timing-related benefits in Q3 that are leading you to kind of take down the revenues a little bit for the full year?
Kurt Wood: No, I think what we said in prior calls is we expect it to be a little bit at the lower end of that range as we were successful with what we're doing on the business. So nothing really there. It's more of the range that we're doing here is we're still at that level where each tool, you're selling $1.5 million to $2 million. So one timing moving in and out of a quarter can have a material impact. So that's more what we're saying in that narrow range there.
Daniel Brennan: Got it. Great. Any impact at all from all the supply chain issues that are recurring, whether impacting kind of customer usage of the platform or your own ability to make the platforms? And just also wondering with the Delta COVID impact in Q3, just -- did that have any influence at all on kind of what you guys reported?
Kurt Wood: Go ahead, Eric.
Eric Hobbs: Yes. First one on the customer use, right, one of the benefits of the Berkeley Lights platform is the high levels of automation, right? And so our customers are able to come in the lab, place the well plate in the tool, hit the go button, and then many of our customers go home and run the tool remotely. And so no major issues there. I think unlike other companies, we were heavily reliant on the academic space. We operate in that commercial area and so -- and with commercial entities who are heavily leveraging CRO, CDMO. So the CROs and CMOs continue to crank through this time as they gain market share in the space. So it's actually been quite positive and a business driver for us.  In regard to supply chains and delivery of goods to customers, I mean, globally, the supply chains are fragile today. And although this could change at any time, we haven't seen a disruption to our overall services as we move through the supply chain challenges at COVID -- with COVID. Anything to add, Kurt?
Kurt Wood: No, I think you got it.
Daniel Brennan: Great, great. And maybe just a few more quick ones, if you don't mind. So cell and gene therapy, it's 1/4 of your revenues today. I know there was a question earlier on the sales funnel, but I'm just wondering, how do we think about like that mix for that opportunity going forward? Does it stay there? Just any color about how that looks going forward to you.?
Eric Hobbs: I'll let Kurt take the mix question in a second. But look, cell and gene therapies continue to grow in the overall market. We see it and everybody else sees it as well. These new therapeutic modalities require -- because these new therapeutic modalities require integrating, accessing and understanding by primary biology in a very high throughput and scalable way, Berkeley Lights is really well positioned. And in regards to cell therapies, we believe when we integrate our characterization capabilities for QA/QC into a manufacturing platform, we really will provide the industry with the greatest opportunity to dramatically accelerate deployment of cell therapies. Now that will take time, but I do believe there's great promise. As the complexity of biology increases into the future, Berkeley Lights is very well positioned. I don't know, Kurt, if you want to add anything in regards to some of the mix questions?
Kurt Wood: No, I think you got it. I think, obviously, you got the mix of what we're seeing now. At least in the short term, we see that being consistent, and we'll continue to evaluate the market and adjust. The great thing about our technology is it's applicable to many different markets, as Eric said in his prepared remarks, and we're ready to play in all of those and have partnerships and relationships with key players in each of those segments. So we're poised and then we obviously use business development to expand like we did in the gene therapy with Thermo Fisher and then Ag-bio with Bayer. And I think you'll see us expand into some additional markets here in the next 12 months.
Daniel Brennan: Great. And then maybe one last one. So in antibody discovery and cell line development, you mentioned how the utility of your platform enables more complex antibodies, bispecific fragments and whatnot. Just how much progress the customer is having using the platform for these versus traditional full-length antibodies?
Eric Hobbs: Yes. We had some great results this quarter on the biospecific side with cell line development. It was published at one of the conferences, whereby we're able to understand and see with our -- and this is a project done with one of our customers, the relevant fraction. One of the big challenges in cell line development for bispecifics is to ensure that you find the cell lines, which are making a majority of the bispecific that you want, not partial fractions of the antibodies that you want. And we're able to see that inside of a NanoPen. So we run multiple assays.  And again, this is unique to Berkeley Lights. We run multiple assays against the different antigen targets, and we can tell you what the relative fractions of antibodies that are being manufactured by this thing. So our customers are quite excited about this new capability that we're releasing and making a lot of progress there. So these new -- I think there was a misnomer or mischaracterization from the overall report that was filed that complex antibodies are not able to be run at the Berkeley Lights platform. That can be further from the truth actually in the fact that our customers are making great progress on these complex antibodies in the Berkeley Lights platform.
Operator: And your final question comes from the line of Paul Knight of KeyBanc.
Paul Knight: On the academic side, what are they ordering? I know that this has been a developing market relative to the others. So what are you doing there and what are they buying?
Eric Hobbs: Yes. So as we mentioned in the prepared remarks, right, we now have 20 placements globally at different academic institutions. And I think in the last quarter, one of the very interesting things was what we saw from Dr. Anthony Zamora, his talk at the CAR-T, TCR Summit, which he provided an overview on how he's using our Lightning Platform to identify how modification and CAR-T T-cell manufacturing can improve in-vivo persistence and clinical efficacy.  And he's doing that by determining the mechanisms and specific features of T-cell biology that drive these therapeutic responses. And so we see a real interest of the interrogation of live biology. What our customers are really interested in the academic space is that having access to an interrogating live primary biology from humans is really challenging, in the sense that the cells don't stay alive long outside of the body. And so a platform like the Berkeley Lights platform enables our customers to interrogate these things with a velocity that means they can answer many questions prior to the cells expiring or changing. And so this is seen in work that we did with Vanderbilt, also with La Jolla Institute of Immunology. And so papers have been published on this where the Berkeley Lights platform is being used to interrogate these human cells. And I think it's quite a promising future for us there. In any case, happy to answer additional questions.
Paul Knight: Is it fair to say that existing customers are buying platforms and new customers are going to the script subscription model?
Eric Hobbs: There's certainly a mix of both that we see, right? We -- as we launch into the , some customers continue to buy -- new customers continue to buy CapEx, place CapEx orders and even some existing customers who had CapEx moving to the tech access subscription. So again, I think we're still learning about our customers and how they want to interface with our technology as they move forward. And look, we have seen where customers face budget challenges, they go to tech access. If customers have budget, they go to CapEx. In the long run, it's likely better for them. So in any case, we see a mix of both, no clear -- I don't think there's a clear rule that these customers go this way and these customers go this way at this time. But it's great to see continued uptake of the Berkeley Lights technology.
Paul Knight: Okay. And lastly, are the academics tending to go subscription or does it vary?
Eric Hobbs: We see various there. We do have platforms placed with subscription, and again, also with CapEx. So when people have grants of significant size, they go for the purchase. And if they don't, they go for the tech access.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.